Silvia Ruiz: Good afternoon, everybody. This is Silvia Ruiz speaking, and I would like to welcome you to Ferrovial's conference call to discuss the financial results for the third quarter of 2025. I'm joined here today by our CFO, Ernesto López Mozo. Just as a reminder, both the results report and the presentation are available on our website since yesterday evening, after the U.S. market was closed. At the end of the presentation, there will be a Q&A session. [Operator Instructions] Before starting, please take a moment to look at the safe harbor statement included in the presentation. And please bear in mind that the presentation contains forward-looking statements and expectations that are subject to certain risks and uncertainties, so actual figures may differ. Other than as required by law, the company assumes no obligation to update forward-looking statements. During this call, we will discuss non-IFRS financial measures, which are defined and reconciled to the most comparable IFRS measures in our results report. With all this, I will hand over to Ernesto. Ernesto, the floor is yours.
Ernesto Lopez Mozo: Thank you, Silvia, and hello, everyone. Thank you for joining us today for Ferrovial's Third Quarter 2025 Operating Earnings Conference Call. Starting with the overview. I mean, in the first 9 months of 2025, we saw continued strong momentum across our business divisions. Our highways delivered outstanding revenue and EBITDA growth, fueled by our North American assets. Airports saw continued progress at New Terminal One at JFK. Here, we are now intensely focused on operational readiness. Construction maintained solid profitability with the adjusted EBIT margin reaching 3.7% in the first 9 months. On the financial side, net debt, excluding infrastructure projects, stood at negative net debt or net cash, let's say, EUR 706 million. The main cash inflows included EUR 406 million in dividends collected from projects and proceeds of EUR 534 million from the sale of AGS Airports in the U.K. and EUR 539 million from the sale of a 5.25% stake in AGS Airports. This was closed in July. The main cash outflows related to the acquisition of an additional 5.06% stake in the 407 ETR for the equivalent of EUR 1.3 billion and also equity injections of EUR 239 million in NTO. Shareholder distributions reached EUR 426 million in the first 9 months. We also announced a second scrip dividend and expect to submit the RFQ for the I-77 South Express project in North Carolina in December. As a reminder, we have already been shortlisted for bidding on the I-24, Southeast Choice Lanes in Tennessee and the I-285 East Express Lanes in Georgia. We expect to submit these bids in the first half of 2026. Let's move now into the operations with the slide on highways. And here, the U.S. highway revenue grew 16.4% in like-for-like terms in the first 9 months of the year and compared to last year, and adjusted EBITDA was up nearly 15.1%. 97% of the highways adjusted EBITDA and 88% of the highways' revenue come from the North American assets. Dividends from these North American assets in the first 9 months of 2025 totaled EUR 312 million, versus the EUR 420 million in the same period last year. I mean this reflects the strong growth and the cash generation of these concessions. As a reminder, in the first 9 months of 2024 included the first dividend from the I-77, which was an extraordinary amount of EUR 195 million. Let's move to the specific assets, the 407 ETR that delivered another outstanding performance this quarter. The traffic in the quarter grew strongly, 9.4%, and it grew 6.2% in the first 9 months of the year compared to last year. This growth reflects the success of targeted rush hour driving offers as well as the increase in mobility in the region from return to office mandates. The strong underlying traffic trends was the cost driving 18.6% revenue growth in the third quarter and 19.3% in the first 9 months. EBITDA surged 20.1% in the third quarter and 15.8% in the first 9 months. In terms of Schedule 22, 407 ETR reduced the 2025 Schedule 22 Payment Estimate. Given the new estimate is markedly lower than the previous estimate, the provision for the first 9 months is lower than the one recorded up to June. As a result, the 407 ETR recorded a CAD 9.8 million provision recovery in the third quarter, bringing the accrued provision for the 9 months to CAD 35.4 million. Promotions are working really well in incentivizing more efficient use of the road. Through these targeted offers, we continue to gain valuable insights into customer behavior. We expect our focus on demand segmentation to continue enhancing value for users and maximizing EBITDA growth. In terms of dividends, CAD 450 million has been paid in the first 9 months of the year. This is up 13% compared with the same period last year. And the 407 Board has approved a dividend of CAD 1.05 billion to be distributed in Q4. This is up 50% from last year's fourth quarter dividend. And this would bring the total amount of dividends approved for the 2025 year to CAD 1.5 billion. This is up 36% from 2024. Moving to the Dallas-Fort Worth Managed Lanes, Slide 6. We will start with NTE. And here, well, despite we see traffic impact from capacity improvement construction works, really, there's fewer vehicles in the corridor that has affected traffic declining 3.7% in the third quarter and 4.4% in the first 9 months of the year. The revenue per transaction has increased by a healthy 14.2% in these first 9 months. And this benefits from a favorable traffic mix that means more heavy vehicles in proportion and more mandatory mode events. The asset grew the adjusted EBITDA by 7.4% in the first 9 months, and this includes $1.3 million of revenue share in the third quarter and $4 million in the first 9 months. In LBJ, traffic grew 1.7% in the quarter and 1.5% in the first 9 months of the year. And this despite the impact of continued construction works in the surrounding roads and corridors. The revenue per transaction grew 8.7% in the first 9 months and the adjusted EBITDA grew 11.1%. Now with NTE 35W is the only Dallas-Fort Worth managed lane that is not impacted by construction works. Traffic in the third quarter grew 4.6% and by 4.1% in the first 9 months. This drove outstanding revenue per transaction growth of 12.0% in the third quarter and 10.2% for the first 9 months. The adjusted EBITDA that grew 11.8% in the first 9 months of the year included $4.9 million of revenue share in the third quarter and $14.8 million in the first 9 months of 2025. All the Dallas-Fort Worth assets, as you see, recorded solid revenue per transaction growth, and this is above the soft cap, benefiting from the favorable traffic mix that I mentioned, there's more heavy in proportion. And in the case of NTE and NTE 35 West, they are also benefiting from more mandatory mode events, which occur when tolls are temporarily forced above the soft cap to guarantee a minimum level of service. In terms of dividend distributions for the first 9 months, I mean, the figures at 100% participation would be $108 million for the NTE, $52 million for LBJ and $99 million for the NTE 35 West. There's no changes versus June. Please remember that these projects usually distribute dividends in June and December. Moving to management outside Dallas Fort Worth, we have the I-66 and the I-77. The I-66 saw exceptional traffic growth, 13.2% in the third quarter and 8.5% in the first 9 months of the year. And the revenue per transaction grew 12.1% in the quarter and 18.3% in the first 9 months of the year. This strong growth was driven by robust corridor growth, especially during peak times where we are seeing some benefits from greater enforcement of return to office policies. Really, this is happening across the U.S. and also Canada. This strong underlying traffic trends helped to drive the outstanding growth of 32.5% in adjusted EBITDA in the first 9 months of the year. The I-66 distributed $64 million in dividends in the first 9 months. The I-77 also saw traffic growth here, 1.5% in the third quarter despite adverse weather conditions, particularly in August. Revenue per transaction increased by a strong 25.7% in the quarter and 24.4% in the first 9 months. Adjusted EBITDA grew 21.1% in the first 9 months with $5.4 million of revenue share for Q3 2025, and this includes revenue share from extended vehicles. The revenue sharing, including extended vehicles, totaled $15.7 million for 9 months 2025 compared to $6.9 million in the first 9 months of 2024. And the I-77 distributed $22 million in dividends -- I mean, since the beginning of the year. Now let's move to the Airports division. At New Terminal One, we are making a steady progress towards operational readiness. The project remains on budget. In terms of schedule, we are discussing acceleration measures with the contractor to guarantee that the official opening date of June 2026 is achieved. Construction is 78% complete and we have commitments from 21 airlines. As a reminder from previous quarters, we achieved an important milestone in July, completing the refinancing of Phase A through the issuance of a $1.4 billion long-term bond. In Dalaman, we saw steady performance. Adjusted EBITDA growth in the first 9 months is supported by commercial upgrades and despite softer international traffic during the summer, that was affected by the geopolitical situation in the Middle East. In the first 9 months, traffic declined by 1.5%, yet revenue grew 2.9% and EBITDA 1.8%. Dalaman distributed EUR 7 million in dividends during the third quarter. This is Ferrovial's share. Now let's move to Construction, that keeps showing solid profitability. The division delivered a 3.7% adjusted EBIT margin for the first 9 months of the year, aligned with the long-term target of 3.5%. And it recorded a solid 4.2% adjusted EBIT margin in the third quarter. Budimex and Webber maintained a steady profitability with very healthy adjusted EBIT margins of 7.6% and 3%, respectively, in the first 9 months. Ferrovial Construction's adjusted EBIT margin was 1.7% in the 9 months, and this is down slightly versus the same period last year due to significant design activity in bidding for projects in the U.S. and costs related to digitalization and IT systems, while partially offset by increased margins in projects approaching completion. So these expenses should be for the good growth that we're seeing ahead. Our order book stands at EUR 17.2 billion at the end of September. This is up 9.1% in like-for-like terms from the -- compared to the close of 2024 December. The composition of the order book remains very healthy given the lower weight of large design and build projects with nongroup companies. It does not reflect approximately EUR 2.3 billion in contracts that are pre-awards or are pending financial close. And almost half of our -- half of our backlog is in our core U.S. and Canada market, we expect will continue to support future growth. Now let's move to the next slide, just to have a look at the main figures. You see the strong revenue and profitability performance for the first 9 months of the year. I mean, strong across the board, revenue growing 6.2%, adjusted EBITDA, 4.8% and adjusted EBIT by 6.0% in like-for-like terms. Let's move now into the consolidated net debt position. In the next slide, the net debt, excluding infrastructure project companies, as I mentioned in the introduction, was negative EUR 706 million or net cash of EUR 706 million at the end of the third quarter. This reflects a strong cash generation also disciplined investment and the impact of recent divestments. Here, we have the bridge where we see that we collected a strong dividends. Please remember, this figure does not include the latest dividend announced by the 407 ETR that will be paid in the fourth quarter. The cash flow from construction is affected by the lack of significant advanced payments during the first 9 months. You know that there's usually seasonality in construction. We expect to see a substantial improvement in working capital in the last quarter of the year. Then in this operating section, we also have tax payments that are mainly related to Budimex and to a lesser degree, construction projects in Australia and Canada. We also looking into the investment bucket, we see significant activity in terms of investments for growth. I mean, the main one being the 5.06% acquisition, additional stake in the 407 and also the equity injections in NTO. Just a reminder, NTO has no additional equity injections scheduled for the year. Additionally, in this block, we also reflect the interest received in cash and deposits, right? And also here, we reflect the divestments from the sale of Heathrow and AGS primarily. Then we have the shareholder distributions, including cash and share buybacks amounted to EUR 426 million. Here, we are on track, remember, to deliver across the years 2024 through 2026, EUR 2.2 billion in cash to our shareholders. So we are on that. And then we have the cash flow from financing activities related to external debt repayments, interest and so on and also the FX translation of the cash balances sheet. So it's a very solid net cash position. So let's move to the -- I mean, closing remarks I would like to make before moving into the Q&A session. Really, the performance in the first 9 months of 2025 demonstrates, I mean, shows the strength and resilience of our portfolio, the North American assets continue to drive growth, supported by increased customer segmentation and favorable market dynamics where the assets are located. Looking ahead, we're really looking forward to the attractive pipeline of opportunities in North American highways mainly. I mean, we expect to have bid submissions for the I-24 in Tennessee, I-25 in Georgia in the first half of 2026. And also at the end -- before the end of this year, the submission of the RFQ for the I-77 South in North Carolina. The construction order book remains healthy and the division ready to enable delivery on the growth opportunities that the infrastructure concession pipeline shows. Well, thank you, and let's move into the Q&A session.
Silvia Ruiz: Thank you very much, Ernesto. Let's start with the Q&A session. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Ruairi Cullinane from RBC Capital Markets.
Ruairi Cullinane: First question on the NTO. What are the potential financial consequences in a scenario where there is a delay to the launch of Phase A? And secondly, the widening of operating losses in the other segment, was that just driven by the divestment?
Ernesto Lopez Mozo: Okay. So well, as I mentioned, we are working with the contractor for the official opening date in June. If there were to be delays below -- I mean, beyond June, then the contractor will have to face liquidated damages. For us, delays in opening would mean that there's delay in the perception of revenues, right? But as I said, we are working on what's needed for the original opening. Regarding the other segments, yes, this plant, Isle of Wight was commissioned some months ago. Usually, when -- I mean, you have just commissioned some of the operations could be affected, right? So basically, we needed to invest to improve the ash removal from the chamber. And also, we delayed a little bit the ramp-up, right? So it's related to this commissioning and start-up of this plant. Remember that when we divested the whole services business. We mentioned that this part of waste treatment in the U.K. needed overhaul of the plants before divesting. So we've been doing that with all the plants. It was the last to be commissioned. And yes, we are now -- we would be exiting this business, let's say.
Ruairi Cullinane: Great. Actually, could I just...
Ernesto Lopez Mozo: Yes, go ahead. You're on the line.
Ruairi Cullinane: Should we expect any impact from the U.S. government shutdown in Q4? Just one more question.
Ernesto Lopez Mozo: Thanks. I mean, up to date, I mean, we haven't really seen any significant impact on the I-66. That is the one that is closer to Washington, not really maybe some tweak in traffic, but nothing significant in terms on revenue. So up to date, nothing. We'll have to monitor that, but we haven't seen anything. And regarding all the bidding processes are mainly carried out at the, let's say, state level. So that's not affected. And the only, let's say, federal agency involved here is [indiscernible]. So the process goes on as scheduled so far.
Operator: The next question comes from Elodie Rall from JPMorgan.
Elodie Rall: My first one is on Schedule 22. The provision reversal in Q3, I think, came a bit as a surprise. Maybe you can come back on what drove this reversal, if it's the fact that underlying traffic was a lot higher, promotions outperformed. And also what that means with regard to how optimistic you are with regard to Schedule 22 penalty decreasing to 0 maybe sooner? And what would be the time frame? And my second question is on the NASDAQ 100 inclusion. I was wondering if you could give us some color what you think about your chances to get in and the latest on that.
Ernesto Lopez Mozo: Thanks, Elodie. Yes. So with the Schedule 22, several things. I mean, first of all, there's been more mobility in the area. As I mentioned with the U.S., it's also happening in Toronto. There's a clear mandate of return to the office. And you see in general congestion in the area. I mean one example is the 407 East that was the toll and has seen traffic jumps in the summer every now and then. So clearly, there's more mobility in the area. That's something that has helped. But the main driver has been that we've been positively surprised how accurate promotions have been, right? So all the heavy users remain using it as they were expected or even a little bit more and then the infrequent users are starting to use it, right? So really, the combination of our rush hour preposition being more valuable given what's happening in the area and really this segmentation, it has worked much better. I mean we don't make comments on basically how this could pan out in the future because, I mean, the product has to have all the quality that is needed. So maybe we see in the future Schedule 22. What is sure is that it's performing much better than the assumptions we had when we bought the additional stake. So we are super happy with this situation, but we won't comment on the projections of Schedule 22. And then regarding the NASDAQ 100, well, it's going to be determined at the end of November with all the relative market cap. So it's not for me to talk about chances. It will be performance and relative performance, right? So I won't comment on chances. I mean the good thing about NASDAQ is that all the criteria are very clear. Everybody can have their own bet, but it's not for me to make any, okay.
Operator: The next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: On the ETR, you have the pricing for next year you will announce in November. I don't know if you can offer any color there. It seems that the backdrop is favorable. You have more mandates to the office, more congestion. And also, if we look at your last 5 years price increases in the context of the tariffs being frozen, you've been doing smaller price increases on average than pre-COVID levels. So I guess my question is any reason why the price increase will not be comparable with what you've done over the last 2 years in the ETR for 2026? The second question on the ETR our estimate, and please correct me if I'm wrong, but I think the discounts you're offering, this represents somewhere around $100 million, $150 million per year in discounts. Now we just discussed the S22 provisions are lower than we thought. Can you give us a bit of a directional steer into 2026? How should we think about these discounts? Should they be flat year-over-year? Or do you see reasons to increase them year-over-year or maybe decrease them? And the last one, if you allow me, on the I-66, I mean, we've seen double-digit volume growth in Q3, more returns office mandates. Could you talk a little bit about the development we've seen there on revenue per transaction actually decelerating versus Q2? What caused that? Is it mix or other factors? And to what extent this development in Q3 is sustainable for the next quarters?
Ernesto Lopez Mozo: Thank you. Well, let me -- maybe I'll ask you to come back to some because there was a lot of explanation, very well crafted by the way. I mean let me start with the last one. I mean, with the I-66, we have to go back to 2024 to understand that it was in that quarter that we, let's say, insisted more on the dynamic pricing with the algorithms more flexibly looking at the opportunities there. So there was already, let's say, a bump or growth at that time. And then it seems like a deceleration, but really everything kind of started there has been building up throughout the year, right? But the algorithm keeps improving. Let's see how it performs going forward, but we are optimistic there. Then regarding the 407, as you say, discounts or so, we probably view it in a different way, right? And we look at the revenue and EBITDA growth, right? So some of these promotions are helpful to incentivize other trips, right? So yes, it could be seen as a discount or just a kind of loyalty or incentive. I mean what we focus in the end is out of all the noise that we have a solid revenue growth, client satisfaction, and we have proper segmentation, right? So I wouldn't be looking into discounts. I would be looking into the revenue growth. And then, I mean, I cannot comment on all the logic that you expressed, so thoughtful. Yes, I mean, we expect the 407 to have in terms of timing and announcement date similar to last year, the rest of the logic, I cannot tell, okay? So we will have to wait for that to be announced.
Operator: The next question comes from Ami Galla from Citi Research.
Ami Galla: Just a few questions from me. The first one was on NTO. If you could give us some color based on the agreements that you've had with the 21 airlines as to the broad framework of how should we think about fees and the revenue structure when you start operating? I appreciate it's early days, but if you can give us some ballpark estimates of how should we think about that, that could be helpful. The second question I had was on the managed lanes business. Where you've been operating -- you've had mandatory mode events. Were there any specific events or disruption in Q3 that drove that? Or was that a general increase in traffic that led to that? And last one was on the competitive backdrop. Any color as to how do you see competitive intensity across your markets on the contracting side?
Ernesto Lopez Mozo: Okay. Thanks. Let me see if I can address those. If I mean, forget one, I will ask you again, sorry for that. So the first one regarding NTO airlines and ramp-up. I mean, we are really in a commercial sensitive stage, right? Ahead of the opening, you always have airlines coming ahead of some months before the opening. So that's been negotiated now. We cannot comment now. It's true that we -- I mean, we know we have to provide more information to the market that will have to be decided later on right now. As I said, the focus is operational, the first thing and commercial, okay? So we will have to update later on. Regarding the mandatory modes in the managed lanes, really, it's probably an effect of also more peak hour activity. As I mentioned before, across the U.S. in Toronto, we are seeing a very clear mandate to go back to the offices 5 days a week, and that drives traffic and also drives peak performance, right? So that also combined with a higher proportion of heavies, as we mentioned, has brought the demand at remote. Even though, as I said, there's less traffic in the corridor on the NTE, not NTE 35 was that is unaffected, right? So I mean, the explanation we have is what I mentioned, right? And then the last one, sorry, could you say again what was the third question?
Ami Galla: It was more on construction and the contracting side. If you -- from a competitive perspective, are you finding it more difficult to win contracts at the margins that you are looking for? I mean, how is that backdrop in the current?
Ernesto Lopez Mozo: No, I would say that in contracting, rather the contrary, I mean, there's more activity. I mean, the heavy civil works that is our focus normally remains as active as it has been. You also have on top of that all the data center activity. So the construction sector has more activity and there's no more resources or more competition in that regard, right? So we are not seeing, let's say, tightening in terms of people being super aggressive. It's very -- I think it's a rational market environment, if I may.
Operator: The next question comes from Dario Maglione from BNP Paribas Exane.
Dario Maglione: Three questions for me. One on the Texas managed lanes. You mentioned in the press release, there was a positive effect due to traffic mix. Can you tell us more about this? Is it both heavy vehicle and light trucks that have a higher share? And if you could tell us why this is happening? Second question, how far is the LBJ from hitting mandatory modes? Third question on the 407 ETR, going back to the incentives working very well. Can you give us some examples of these incentives -- and maybe more color on which ones are working best in your view?
Ernesto Lopez Mozo: Well, thanks. Really, in terms of the traffic mix in the managed lanes, that has helped more heavy, that is a combination, probably not of the heaviest, but probably more on the other side, the lighter trucks or commercial vehicles that we can call it. I mean there's more. I mean, I cannot give you like a macro rationale of why this is happening. Maybe they are also keener to basically use our road in peak times given the -- I mean, the more intensity, right, that we are seeing because of the mandate back to the office, right? So I mean, the reality is that there is more. I don't have a cost effect that I can comment now. We keep looking at it. But right now, I cannot give you any specific one. Regarding LPJ, LPJ, really, there's more free lanes. So there's more capacity. And also, you have people that have avoided the corridor because of all the works in the surrounding roads, right? So yes, it's not expected anytime soon because of all these components that I mentioned. We will have to see going forward how much traffic comes back to the corridor and how growth happens. But no, we are not expecting any in the near term to have the mandatory modes. And then regarding incentives, I think that anything that has to do with the rush hour now with more the mandate back to the office is really appreciated. So I think that as always, it works well with people that work or live close to the road, right? So this is where the impact is always more effective. But I mean, I don't have any kind of specific segmentation to comment now, and this will keep evolving a long time. So we will be discussing this in the future. At the moment, what I say is just the value of the peak hour promotion is higher than what it was some time ago.
Operator: The next question comes from José Manuel Arroyas from Santander.
José Arroyas: Two questions, please. First one is on the potential to deleverage any of the managed lanes. I know there is a limit, which is the need to incur a refinancing gain if you do so, but I wanted to hear from you if you expect any of the managed lanes to pay dividends in excess of their underlying free cash flow anytime soon. And my second question is again on 407 ETR's promotions. I wanted to understand -- I understood a comment you made earlier, Ernesto. I think you said that the promotions are helping to increase customer segmentation. And I'm not sure how that's happening. And I was wondering if you are just alluding to the fact that the current tariff in 407 ETR has more segments than before. I wanted to understand your comment earlier about this.
Ernesto Lopez Mozo: Okay. I will start with the -- I mean, yes, well, the first one, right, the leverage on the managed lanes. Yes, there's a possibility of relevering some of them, namely the I-66. Not short term, but also not far away, right? So clearly, in the coming years, there could be an opportunity there. In the 407 -- well, not much about 407 clearly, and that's very obvious. And in the rest of the Express Lanes, not at the project level. Maybe there could be some tweaking just outside the project level that we are exploring. But I mean, we will be commenting to the market when they are closer. I don't expect any short-term news there. Yes, the 407 has more headroom there. And then when I'm talking about segmentation, no, it's more than the current time frame and so on. I mean you have some people that have been infrequent users and you end up maybe providing some teasers, some promotions that make them travel more. So yes, you can do that and it's working, right? So if someone that you have understood that won't make more trips than a certain given amount, then the promotions are different for them, right, than for someone that can maybe increase some usage, right? So that's when we talk about segmentation helping is more in that regard. Yes, I think that was it, right?
Operator: The last question comes from Marcin Wojtal from Bank of America.
Marcin Wojtal: So I have a couple of questions. One is on the share buyback. I mean, you committed to return EUR 500 million through the buyback. I believe based on the last weekly disclosure, EUR 142 million has been spent. So should we still assume that this buyback is on track to be completed in full by the end of the mandate, which I believe is May 2026? And can you explain why is this buyback only being done through the U.S. line? Originally, I believe you were buying both through the European listing and the U.S. listing and now it's only going through the U.S. And my second question is regarding your business plan, which goes from 2024 to 2026. Should we expect a new business plan to be presented at some point in the next, let's say, 18 months?
Ernesto Lopez Mozo: Yes. Thanks, Marcin. Absolutely, we are committed to the EUR 2.2 billion. You mentioned May 2026 is the end of 2026 that we will be delivering on the EUR 2.2 billion. We have some catch-up to do. We've also been wondering the mix of distributions and buybacks because we have to also help that liquidity is not, let's say, drained from the market, and you see that the U.S. needs a lot of liquidity. So yes, buybacks have been tiny. We need to catch up. So point taken. And it has been small and has been in the U.S., but it could be done elsewhere. So short answer is yes, we'll deliver. We have to catch up. It's not May, it's the end of 2026, but we are on it.
Marcin Wojtal: I'm sorry, what about your business plan targets...
Ernesto Lopez Mozo: I forgot about that. I mean Silvia was pointing that you're missing about the business plan. Well, we'll -- I mean, there's no decision yet, but yes, we will have to update the market. Also bear in mind that we have important bids that will be awarded next year. So yes, definitely, we will have to be getting in touch with you guys. There's no official date, nothing just in the calendar yet, but yes, we will have to update.
Operator: We have a new question, and the question comes from Alvaro Lenze from Alantra Equities.
Alvaro Lenze Julia: Yes. Just one quick question. We saw last week, I believe, a small acquisition in data centers. Just if you could run us again just to catch up on what's your strategy in data centers? I think you have been not very enthusiastic in the space compared to some of your peers. But I don't know if this acquisition signals that you see more opportunity? Or is there any change to your strategy in data centers?
Ernesto Lopez Mozo: Yes. Thanks. Well, really, the acquisition is tiny. It adds capabilities, let's say, for the Construction division in data centers because it has capabilities -- the company acquired has capabilities in installation, data center maintenance management. So all these kind of works and capabilities are in general scarce in the market, and we are being demanded by our clients to deliver on this. So this is more related to the Construction division. Data centers, we remain opportunistic. It could be a good business. We go on a piecemeal approach so far. So no change there.
Operator: There are no further questions at the conference call. I will now hand back to the Silvia Ruiz.
Silvia Ruiz: Thank you, operator. So I have one question here from the webcast. This is from Miguel González from JB Capital. The question is, could you please explain the reasons behind the acceleration in highways headquarters and other costs? And do you expect this trend to continue in the coming quarters?
Ernesto Lopez Mozo: Yes. And maybe I should have covered this in the presentation because I've seen some notes from analysts really highlighting this. Two things. I mean, one of them is comparing to last year, last year, we got the ST spend of roughly EUR 12 million from the SR 400 that we lost. So we got the ST spend and that was reflected in the Q3 of '24 overheads from Cintra. And now really, what we are doing is 2 things that are adding. We are spending or investing, you may call it that way, on the engineering for the bidding of the pipeline that is about to come and for bid. And then the other part is also IT that, of course, there's developments with all the evolution that we have in systems with AI and so that is really helping in revenues. But yes, it has this expenditure. So it's IT and bidding costs. And I think that both of them are for the good reason. Yes, I should have picked us in the speech, okay? So thanks for bringing this up. Okay. I think there's no further questions. So thanks for being with us. I think that the results are excellent. We're looking forward to meeting you and to the new developments in the business coming up. Thank you, and bye-bye.